Operator: Good day, everyone, and welcome to the Movado Group Inc. Fourth Quarter and Fiscal Year 2022 Earnings Conference Call. As a reminder, today’s call is being recorded and may not be reproduced in whole or in part without permission from the company. At this time, I’d like to turn the conference over to Rachel Schacter of ICR. Please go ahead.
Rachel Schacter: Thank you. Good morning, everyone. With me on the call is Efraim Grinberg, Chairman and Chief Executive Officer; and Sallie DeMarsilis, Executive Vice President, Chief Operating Officer and Chief Financial Officer. Before we get started, I would like to remind you of the company’s safe harbor language, which I’m sure you’re all familiar with. The statements contained in this conference call, which are not historical facts, may be deemed to constitute forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Actual future results may differ materially from those suggested in such statements due to a number of risks and uncertainties, all of which are described in the company’s filings with the SEC, which includes today’s press release. If any non-GAAP financial measure is used on this call, a presentation of the most directly comparable GAAP financial measure to this non-GAAP financial measure will be provided as supplemental financial information in our press release. Now, I’d like to turn the call over to Efraim Grinberg, Chairman and Chief Executive Officer of Movado Group.
Efraim Grinberg: Thank you, Rachel. Good morning, everyone, and welcome to Movado Group’s fourth quarter and year-end conference call. Joining me today is Sallie DeMarsilis, our Chief Operating Officer and Chief Financial Officer. I will provide an overview of our performance and our progress against our strategic initiatives, and then Sallie will review our fourth quarter and fiscal 2022 financial performance in greater detail. We would then be glad to answer any questions you have for us today. We are extremely pleased with our performance in fiscal 2022 as our actions over the past several years enabled us to accelerate growth with powerful brands, compelling innovation and an elevated omni-channel experience. As we enter fiscal 2023, the world is in a precarious position. While we saw the effects emanating from the pandemic begin to improve over the last six months and into the early part of this year, we are now operating in a world that is being greatly affected by the devastation in Ukraine. Our hearts and prayers go out to all those affected by this untenable situation. We are not sure how this war will end, but we know that millions of innocent Ukrainians are being impacted. The Movado Group Foundation made a donation of $100,000 evenly split between the International Rescue Committee and the United Nations Refugee Fund to aid and rescue efforts and to support Ukrainian refugees. As we began fiscal 2023, we knew the world is being affected by the heightened concerns around inflation and increased energy costs. We now can see that these issues are being compounded by the effects of the war. These economics – these economic and geopolitical events add heightened uncertainty to the macro backdrop as we continue to navigate a dynamic operating environment. We are fortunate to possess a strong balance sheet and an agile organization that has proven ability to navigate during uncertain times. Now let’s turn to our own performance for fiscal 2022. First, I would like to recognize our teams around the world for a stellar performance. Not only did we surpass pre-pandemic results, but we set many records for the year across a variety of metrics from sales to operating profit to adjusted earnings per share. We ended the year on a strong note with sales for the fourth quarter of $206 million, up 15.5% over last year and up 7.8% versus pre-pandemic fiscal 2020. This resulted in record sales of $732.4 million for the year, up 44.6% over the last year and 4.5% versus two years ago. Our gross profit percentage for the quarter was 58.7% versus an adjusted gross profit of 54.9% last year. For the year, our gross profit percentage was 57.2% versus an adjusted gross profit of 53.6% last year. Our adjusted operating profit was $37.9 million in the fourth quarter and reached a record $119.7 million for the year, driving increases of 59% and 290%, respectively. We were extremely pleased that we delivered 18.4% adjusted operating margin for the quarter and a record 16.3% adjusted operating margin for the year. Our adjusted earnings per share were $1.32 for the quarter versus $0.84 in the prior year period. This brought adjusted earnings per share to $3.94 for the year, more than triple last year’s earnings of $0.92. In terms of our balance sheet and cash flow, we generated $130.8 million in cash flow from operations for the year. Our net cash position at year-end was $277.1 million versus $202.6 million last year, despite having reinstated our dividend and purchased $22.6 million in stock. We are delighted to announce today that our Board has decided to increase our quarterly dividend by 40% to $0.35 per share. In addition, we expect to continue to create value for our shareholders through our share repurchase program. While we believe that operating in the current economic and global environment will certainly present its challenges, we feel that our teams are well prepared. Over the last few years, we have navigated extremely well during a global pandemic and have done an excellent job of rationalizing expenses, while investing in the areas that provide the highest return for the company and building for the future. We will continue to be nimble and adapt to the current environment, while staying focused on delivering for the long-term. For the quarter, our international business grew by 12.7% led by strong performance in key European markets, Latin America and India. For the year, our international sales grew 32.5% from the prior year, but were slightly down by 3.1% from pre-pandemic levels. In the U.S., our sales for the quarter increased by 18.5% with double-digit growth in our most important brand, Movado. For the year, our domestic business grew by 61.1% and 14.4% versus two years ago. As we have continued to grow, we are pleased to have diversified – to have a diversified and balanced business model, with slightly more than half of our sales coming from international markets. From a brand perspective, we are pleased to see that our Movado elevation strategy continues to resonate with consumers, with our average price increased almost 15% during the holiday season. We continue to see improved performance in our brick-and-mortar distribution, while seeing stellar performance in our e-com business, movado.com, which is now a significant business, grew by 33.7% for the quarter, with the average unit retail increasing by 17%. For the year, our movado.com sales grew by 61.2%. For the quarter, watches that retail for over $1,000 accounted for over 20% of Movado sales. Movado jewelry that is only available on movado.com was 12% of the brand’s e-commerce sales during the quarter and more than doubled compared to last year. While we would expect our dot-com growth to moderate as consumers shift back to buying more in-store, we are excited about the important role that it plays in the overall brand experience. During the holiday season, our iconic Movado SE continue to perform very well with increased penetration of our SE Automatic. Our BOLD Evolution and Verso collections continue to perform both online and at brick-and-mortar. Our Series 800 sport collections continue to drive sales at retail. This spring, we will continue to support Movado with both digital and television marketing programs. Our licensed brands performed extremely well for both the quarter and the year. Sales grew by 11.6% for the quarter and 40.4% for the year. Licensed brands also grew against pre-pandemic sales both for the quarter and the year. In Tommy Hilfiger, we continue to drive very strong growth, particularly in key European markets in both jewelry and watches. We continue to collaborate with key influencers and athletes like Premier League Star, Leon Goretzka. We also continue to support our growing India market with Bollywood Star, Shahid Kapoor. For the spring, we will introduce two new multi-eye collections in Matthew for him and Leila for her. In Hugo Boss, we saw strong results and are excited that we have a strong foundation as the parent brand continues to gain momentum as they implement their CLAIM 5 growth strategy. For both the quarter and the year, we grew over pre-pandemic levels in Hugo Boss. We drove the key markets of Germany, France and the UK with strong digital support as well as strong billboard marketing programs in major cities in those important markets. We have strong results for our leading Grandmaster family for him. This spring, we will introduce our new BOSS Admiral model, constructed from ocean plastic and featuring a solar movement catering to a younger environmentally-conscious consumer. Last week, we renewed our license agreement with HUGO BOSS through December 31, 2026 with certain rights to extend for an additional five years thereafter. We are delighted to continue this very successful partnership, which has been expanded beyond watches to also include BOSS-branded jewelry. In Coach, we continue to see strong results in both the U.S. and China, leading iconic families like Arden and Preston continue to perform well. We are excited to collaborate with Jennifer Lopez, featured in our spring marketing campaign and introducing our new Grayson ceramic watch. Lacoste also performed extremely well against both last year and two years ago, led by new executions in our two leading families, Lacoste 12.12 and Tiebreaker. This spring, we will introduce our new Minecraft collaboration in Lacoste as well as our first active lifestyle collections in Swing for her and Replay for him. We are very excited to begin the introduction of the Calvin Klein brand in both watches and jewelry. We are targeting about 2,500 retail doors around the world with Europe and the Middle East, representing our biggest markets. We are also excited about the opportunities in Asia. We are expecting that jewelry will represent 15% to 20% of total sales on an annual basis. We are seeing strong response from all of our markets thus far, and we are already seeing some promising initial sell-through. We continue to believe that CK can be a significant long-term growth driver both in jewelry and watches. We are very pleased with the results in our outlet stores. We drove improved profitability by maintaining pricing discipline and improving gross margin. Our average selling price grew by 19.6% over last year and almost 32% over two years ago. In Olivia Burton, we were down single digits for the year with challenges in our key market, the UK. We believe strongly in the medium-term prospects for Olivia Burton and have reinvigorated both the leadership and the design talent in the Olivia Burton brand. Olivia Burton has continued opportunities and unique watch and jewelry designs with a British sensibility, and we are committed to support this evolution. In MVMT, we also saw a single-digit decline for the brand for the year as we moderated customer acquisition cost due to decreased marketing efficiencies. We were pleased to see continued strong performance in our higher price point families like our unique Ceramic Gloss White, which will be expanded into other color ways this year. As announced last night, we are excited to have a seasoned marketing and product executive join our team to lead the MVMT brand in Eran Cohen, who was previously, the CEO of St. John Knits. As part of his initial priorities, Eran will establish a comprehensive growth strategy for MVMT. In summary, fiscal 2022 is an exceptional year for Movado Group. I could not be proud of our teams around the world as they executed against our strategic plan and delivered record-breaking results, both in sales and profitability. As we remain focused on executing against our strategic goals, we will continue to make sure that we remain disciplined in our investments and continue to support our biggest opportunities. Additionally, as we operate in these uncertain times, we will make our — we will continue to make our marketing and expense commitments as close to the time of execution as possible. As we look ahead, we are excited about the prospects for the future, but understand that there are inflationary pressures, including wage and labor pressures, along with additional inflationary cost increases. We hope to offset some of these pressures through price increases that we have begun to implement. We will stay focused on improving our gross margins and continuing to operate efficiently to offset these increased costs in our operations. We also expect that we will see headwinds in the U.S. as we lap stimulus programs and consumers are able to spend on travel, dining and other activities. Despite this, for the coming year as reflected in our outlook for fiscal 2023, we expect to grow sales in the mid-to-high single digits, while continuing to deliver growth in operating profit. I would now like to turn the call over to Sallie.
Sallie DeMarsilis: Thank you. Efraim, and good morning. For today’s call, I will review our financial results for the fourth quarter and fiscal 2022 and then introduce our outlook for fiscal 2023. My comments today will focus on adjusted results. Please refer to the description of the special items included in our results for the fourth quarter and full year of fiscal 2022 and fiscal 2021 in our press release issued earlier today, which also include the table for GAAP and non-GAAP measures. Our record performance for the fourth quarter and fiscal year was highlighted by overall strength in global sales, expansion in gross margin and the disciplined management of expenses. We ended the fiscal year with a strong balance sheet and significant progress on our strategic initiatives. For the fourth quarter of fiscal 2022, sales were $206 million as compared to $178.3 million last year, an increase of 15.5%. Strong response to our brands and offerings led to net sales increases across our segments of owned brands, licensed brands and company stores as well as across most geographies, most notably, the United States. We also saw year-over-year growth in Latin America, Europe, and India. U.S. net sales increased 18.5% and international net sales increased 12.7% as compared to the fourth quarter of last year. Gross profit as a percent of sales was 58.7% compared to 54.9% in the fourth quarter of last year. The increase in gross margin was primarily driven by favorable channel and product mix and leverage on certain fixed costs, primarily due to the increase in sales over the prior year period. Operating expenses were $82.9 million as compared to $74.1 million for the same period of last year. The increase was driven by higher marketing expenses and general operating expenses that directly support the significant increase in sales, while continuing to be disciplined in operating expenditures. As a percent of sales, operating expenses for the quarter decreased to 40.3% from 41.6% in the fourth quarter of last year. Expansion in gross margin and controlled spending in the fourth quarter drove a $14.1 million increase in operating income to $37.9 million compared to $23.9 million in the fourth quarter of fiscal 2021. We recorded income tax expense of $6.5 million in the fourth quarter of fiscal 2022 as compared to $3.7 million in the fourth quarter of fiscal 2021. Net income in the fourth quarter was $31.2 million or $1.32 per diluted share as compared to $19.7 million or $0.84 per diluted share in the year ago period. Now turning to our fiscal year results. Sales were $732.4 million, an increase of 44.6% from fiscal 2021. The increase in net sales was primarily attributable to the partial recovery from the ongoing COVID-19 pandemic and higher demand. Gross profit was $419.1 million or 57.2% of sales as compared to $271.2 million or 53.6% of sales last year. The increase in gross margin rate was due to favorable channel and product mix, leverage on certain fixed costs and favorable changes in foreign currency exchange rates. Operating income was $119.7 million compared to operating income of $30.7 million in fiscal 2021. Net income was $93.4 million or $3.94 per diluted share as compared to net income of $21.4 million or $0.92 per diluted share in the year ago period. Now turning to our balance sheet. Cash at the end of the year – at the end of the fiscal year was $277.1 million, an increase of $53.3 million over last year, even as we paid down $21.2 million of debt and repurchased $22.6 million of common stock during the year. During fiscal 2022, we generated $130.8 million of operating cash flow. Accounts receivable were $91.6 million, up $14.6 million from the same period of last year, primarily due to the increase in sales. Inventory at the end of the quarter was up $7.7 million or 5% above the same period of last year, while sales increased 15.5% in the fourth quarter. Capital expenditures were $5.7 million and depreciation and amortization expense was $12.5 million, which included $3.3 million related to the amortization of the remaining acquired intangible assets of Olivia Burton and MVMT. As Efraim mentioned, we are pleased with the progress we have made in this challenging environment and believe we are taking the right actions to drive our business. However, as we look into fiscal 2023, we remain cautious due to the current uncertainty around the impact of rising interest rates, increasing inflation, supply chain disruptions and geopolitical issues. Taking this into account, we currently expect fiscal 2023 net sales in a range of approximately $780 million to $800 million, gross profit of approximately 58% of net sales and operating income in a range of $125 million to $130 million. Assuming no changes to the current tax regulations, our outlook assumes a 25% effective tax rate. As it relates to share repurchases, during fiscal 2022, the company repurchased approximately 867,000 shares under its share repurchase program. As of January 31, 2022, the company had an aggregate of $52.4 million remaining under its authorized share repurchase programs. Subject to prevailing market conditions in the business environment, the company plans to execute its share repurchase plan at an accelerated pace in fiscal 2023. I would now like to open the call up for questions.
Operator: At this time, we will be conducting a question-and-answer session. [Operator Instructions] Our first question is from Oliver Chen with Cowen. Please proceed with your question.
Unidentified Analyst: Hi, there. Good morning. This is Katie on for Oliver. I think some of our first questions, you have great results. I would love to know sort of like what are your learnings so far from the Calvin Klein launch? And how much did stimulus impact your Q1 sales last year? If you could quantify that, that would be really, really helpful? And then I’ve got a few follow-ups. Thank you.
Efraim Grinberg: Okay. Thank you, Katie, and good morning. I think – so from the Calvin Klein launch, I think our team has just done a fabulous job of executing against the brand DNA. And so we’re really excited. We’ve seen really good reception to our product. We’ve seen very strong initial sell-through. Again, it’s anticipated to be pretty small at the beginning of the year, but as we roll it out, ultimately, it will be a significant contributor to Movado Group. So we’re really excited about that launch. Certainly, stimulus in the fourth – in the first quarter of last year had an effect on domestic sales. We don’t know the exact impact of that, but we do know it was probably predominantly in the month of March, early April. And – but you have a number of different variables probably that will impact retail sales, I would assume, in the first quarter in the U.S., including inflation, higher energy costs, the war as well as the stimulus.
Unidentified Analyst: Okay, great. And then maybe more broadly, I would love to know your thoughts around product category expansion and sort of how you’re thinking about jewelry and maybe some of the sort of implications of that expansion as it relates to your gross margin? And then staying on gross margin, what are sort of the primary drivers behind that, that 80 basis points of expansion plan for 2023? Thank you.
Efraim Grinberg: I think it’s – we’re selling more expensive product, which is – and really across our brands, which is very helpful to gross margin. And I think we will continue to expand jewelry, it’s still about 5% of our sales. As we – as it becomes a bigger piece of our overall business, I believe that we will be able to manage the gross margins to fit within our total mix. So we don’t really see expanding right now into other product categories beyond that. We do have sunglasses and blue light glasses called Everscroll in MVMT, which is a nice business for the MVMT brand. But I don’t see expanding that into other brands.
Unidentified Analyst: Okay. That’s really helpful. And then my last question is just around price increases and the really impressive AUR growth that you’ve been able to implement across the business. So how have consumers responded to those price increases so far? And do you have any price increases planned yet for fiscal 2023? Thank you.
Efraim Grinberg: So we implemented limited price increases last year, particularly, specifically in the Movado brand and that went quite smoothly. We’re now doing some follow-on increases as costs, including labor costs and store personnel, and things like that cost more across all of our brands. So we’re in the process of doing that implementation now, but we’ve seen fairly good acceptance in historically as we’ve rolled price increases out. And I think consumers are used to paying more for things right now. We also continue to add value to our product. That was really probably the biggest push in raising price, and the AUR is going up, our average unit retail going up. We’re getting more values for things like ceramic in MVMT, the SE family is really a sport luxury family at the upper end of our Movado collection. So it’s really nice to see that the consumers are willing to spend more money when you deliver more value.
Unidentified Analyst: Absolutely. Thank you so much.
Sallie DeMarsilis: Thanks, Katie.
Efraim Grinberg: Thank you.
Operator: We have reached the end of the question-and-answer session. And I will now turn the call over to Mr. Grinberg for closing remarks.
Efraim Grinberg: Very well. I would like to thank all of you for participating today. We’re again very pleased with our results for last year, and we look forward to talking to you again for our first quarter earnings call. Thank you very much.
Operator: This concludes today’s conference, and you may disconnect your lines at this time. Thank you for participating.